Operator: Good morning, and welcome to the Sabre Second Quarter 2025 Earnings Conference Call. My name is Sean, and I will be your operator. As a reminder, please note today's call is being recorded. I will now turn the call over to the Senior Vice President, Investor Relations and Treasurer, Brian Evans. Please go ahead, sir.
Brian Evans: Good morning, and welcome to our Second Quarter 2025 Earnings Call. This morning, we issued an earnings press release, which is available on our website at investors.sabre.com. A slide presentation, which accompanies today's prepared remarks, is also available during this call on the Sabre Investor Relations web page. A replay of today's call will be available on our website later this morning. We advise you that our comments contain forward-looking statements that represent our beliefs or expectations about future events, timing and effects of the agreement to sell our Hospitality Solutions business, including pro forma financial information, results of our growth strategies, transactions and bookings growth, commercial and strategic arrangements and our financial guidance, outlook and expectations, free cash flow, net leverage, liquidity, among others. All forward-looking statements involve risks and uncertainties that may cause actual results to differ materially from the statements made on today's conference call. More information on these risks and uncertainties is contained in our earnings release issued this morning and our SEC filings, including our Form 10-Q for the quarter ended June 30, 2025. Throughout today's call, we will also be presenting certain non-GAAP financial measures. References during today's call to adjusted EBITDA, adjusted EBITDA margin, normalized adjusted EBITDA and normalized adjusted EBITDA margin have been adjusted to exclude certain items. The most directly comparable GAAP measures and reconciliations for non-GAAP measures are available in the earnings release and other documents posted on our website at investors.sabre.com. Normalized amounts have been adjusted for estimated costs historically allocated to our Hospitality Solutions business, which was sold on July 3, 2025. We are also presenting certain financial information on a pro forma basis to give effect to the sale of the Hospitality Solutions business, and we have removed the impact of the $227 million payment-in-kind interest that was recorded in conjunction with the refinancing activity in the second quarter of 2025 from pro forma free cash flow. Unless otherwise noted, results presented are based on continuing operations. Participating with me are Kurt Ekert, President and CEO, and Mike Randolfi, Chief Financial Officer. With that, I will turn the call over to Kurt.
Kurt J. Ekert: Thanks, Brian. Hello, everyone, and thanks for joining us. Earlier today, we reported Second Quarter results and provide an updated outlook for the remainder of the year. In what has been a dynamic and at times challenging first half of the year, we have remained focused on executing our strategic priorities. These are first, to generate free cash flow and delever the balance sheet, and second, to drive sustainable growth by delivering innovative technology solutions for our customers. Through the work of our team members, we believe Sabre is a stronger and better positioned company today versus a year ago. Over the past year, we have taken meaningful steps to strengthen our balance sheet. We have grown adjusted EBITDA, extended debt maturities and paid down debt. Year-to-date, our normalized adjusted EBITDA has grown 4% year-on-year. We have significantly improved our debt maturity profile, extending nearly 60% of our debt to 2029 and beyond. And this year, we have reduced total debt by more than $1 billion or nearly 20%, using a combination of cash from our balance sheet and proceeds from the sale of Hospitality Solutions. Taken together, we expect to reduce our year-end 2025 net leverage by approximately 50% versus year-end 2023. At the same time, our commitment to innovation is reshaping the travel landscape as we introduce new and enhanced solutions for our customers. We are making significant progress with the implementation of signed new business, which we expect to accelerate in the back half of 2025. Our solutions are resonating in the marketplace as evidenced by continued commercial momentum. The operating environment remains challenging and is pressuring air distribution bookings. As a result, the second quarter came in below expectations, and we are updating our outlook for the remainder of the year. Despite this near-term pressure, we are staying focused on executing and making steady progress against our strategy, which we believe best positions Sabre for long-term growth. Moving to Slide 5. I will provide some additional details on the second quarter. Air distribution bookings declined 1% year-on-year, outperforming the broader GDS industry, but falling short of previous expectations for low single-digit growth that we shared on our Q1 call. During the second quarter, our growth strategies added 8 points of growth to air distribution bookings compared to the prior year. However, this growth was offset by a combined 9-point decline in our base business, 4 points from the GDS industry and 5 points from Sabre mix, resulting in the 1% decrease in air distribution bookings for the quarter. Regarding the GDS industry, the weakness of corporate bookings relative to leisure and the pullback of government and military travel, which almost exclusively books through the GDS caused GDS volumes to underperform airline passenger growth. Relative to other GDS competitors, Sabre's mix has a higher exposure to both of these factors. We also have more share than our competitors in certain countries that had a disproportionate decline and less share in certain countries that performed better, driving further pressure. While we expected some industry stabilization during the quarter, incremental industry weakness emerged in June and continued into July, which was the driver of our air distribution bookings shortfall to expectations. Volumes from our growth strategies are scaling largely as expected. These growth strategies contributed over $2 million of air distribution bookings in June and approximately $2.5 million in July, which represents approximately 10 points of growth year-on- year. This momentum supports our path to greater than 30 million incremental air distribution bookings from our growth strategies for full year 2025. Hotel distribution bookings growth continued, up 2% in the quarter, and the attachment rate to air bookings improved 100 basis points to 34%. Within IT solutions, passengers boarded increased by 1% year-on-year. Importantly, we continue to stay focused on what is within our control, executing our growth strategies, realizing the benefits of our technology transformation and continued cost management. These actions helped drive Q2 2025 normalized adjusted EBITDA growth of 6% versus prior year and normalized adjusted EBITDA margin improvement of approximately 120 basis points to approximately 19%. Moving to Slide 6. We are accelerating the transformation of our platform into a modern, open travel marketplace that seamlessly integrates content and capabilities from a wide range of sources. In multi-source content, Sabre continues to demonstrate industry leadership with 38 live NDC connections now operational, among the most in the industry and seamless shopping, booking and workflow integration. Our distribution expansion strategy is progressing well. For example, Christopherson Business Travel recently selected Sabre as its primary distribution technology partner, building upon numerous wins in 2024 and 2025, and demonstrating continued commercial momentum. Hotel B2B distribution gross booking value transacted through the platform continues with an annualized turnover of $20 billion, a 4% increase year-on-year. Our digital payments business also continues to scale rapidly with Q2 gross spend of $5 billion, up 44% year-on-year. We continue to see strong traction with the AI-powered offer management suite of IQ products, a cornerstone of SabreMosaic. These products are well timed to help airlines as they navigate today's shifting demand. During the quarter, we signed an agreement with Avelo Airlines, who will become the first low-cost carrier to adopt Ancillary IQ. We now have 9 airlines that will be utilizing our SabreMosaic Offer Management products. Overall, we are making significant progress against our strategy and transforming the business to capture long-term value in a dynamic and evolving travel marketplace. On to Slide 7. With the weakness we previously discussed in the first half of the year and uncertainty around GDS industry growth for the remainder of 2025, we have revised our outlook for the second half to range from 4% to 10% air distribution bookings growth. Similar to the first half, the drivers of this updated outlook are the GDS industry and Sabre mix as well as timing of growth strategy initiatives. I'll touch briefly on each of these. First, with regard to our updated view of the GDS industry, we do not believe these trends are structural, and expect them to stabilize over time. However, we anticipate the lower mix of corporate bookings versus leisure to continue through the remainder of 2025. Second, looking at bookings mix in the second half of 2025, we expect to continue to be adversely impacted by our greater exposure to corporate travel, military and government travel and our higher share in certain countries that are seeing a disproportionate travel decline. However, we are encouraged by recent commentary from the U.S. airlines indicating their expectations for improving second half trends. Finally, the remainder is related to growth strategy timing due primarily to a temporary delay from technology and connectivity development in the launch of our new multi-source low-cost carrier solution. This solution is designed to expand access to even more LCC content beyond the 150-plus low-cost carriers already available on our platform today. Our early adopter program is progressing well. connecting content from over 50 additional LCCs to approximately 500 agencies. We had previously expected this new product offering to be in full production launch this summer, driving approximately 5 points of air distribution bookings growth in the second half of 2025, but now anticipate a 6-month delay and early 2026 for launch. Moving to the chart on the right, which represents our air distribution bookings guidance for the third and fourth quarter as well as the full year. We have broken out the drivers for year-on-year quarterly air distribution bookings growth for both actual results in the first half of the year and the expected acceleration in the second half. The black sections show the positive impacts of our growth strategies, driven primarily by the implementation of bookings from signed new business. This growth is being offset by the weakness previously discussed in the overall GDS industry and Sabre mix as displayed by the gray boxes shown in both the first and second quarter actuals. For the third quarter, we expect 13 points of growth in air distribution bookings from growth strategies, namely the realization of implemented new business. We expect our July exit rate for new business to be greater than 10 points of growth, and we have clear line of sight to the new business realization projections for the remainder of the year. We expect this growth will exceed the headwinds I discussed previously, resulting in quarterly air distribution bookings growth of 2% to 6%. In the fourth quarter, we expect to benefit from our growth strategies to accelerate and result in 19 points of growth, resulting in total air distribution bookings growth of 6% to 14%. In summary, we are navigating some near-term challenges that we believe are largely transitory, and we are encouraged with the continued scaling of our new business volumes. We remain focused on executing our 2 strategic priorities, generating free cash flow and delevering the balance sheet, and driving sustainable growth through innovation. Through the team's continued hard work, Sabre is a stronger, better-positioned company today than it was a year ago. Thank you, and now over to Mike.
Michael O. Randolfi: Thanks, Kurt, and good morning, everyone. Please turn to Slide 9. For the second quarter, Sabre reported revenue of $687 million, down 1% year-on-year. Distribution revenue decreased by $5 million, driven primarily by the decrease in air distribution bookings, which was partly offset by an increase in hotel distribution bookings. IT Solutions revenue decreased 2% year-on-year, driven primarily by previously disclosed de-migrated carriers, partially offset by an increase in passengers boarded and license fee revenue. Looking forward to the second half for IT Solutions, we anticipate continued passenger boarded growth with quarterly revenue in the $140 million to $145 million range. On a normalized basis, gross margin decreased 110 basis points in the second quarter versus the prior year. The decrease in gross margin is partially related to the foreign exchange impact of a weaker U.S. dollar, where Sabre generates revenue in dollars but pays agency incentives in local currency. Gross margin was further impacted by a stronger mix of U.S. bookings, which have a lower margin profile relative to other regions. We expect some of this impact to be temporary with higher gross margins in the second half that are roughly in line with the second half of 2024 on a normalized basis. Q2 2025 normalized adjusted EBITDA increased 6% year-on-year with normalized adjusted EBITDA margin expanding by 120 basis points. Pro forma free cash flow was negative $2 million, and we ended the quarter with $447 million of cash on the balance sheet. Notably, after the quarter ended, we closed on the sale of Hospitality Solutions on July 3, the proceeds were primarily used to pay down debt, and we added $135 million to the balance sheet that is not included in the Q2 cash position. At the end of July, our cash on the balance sheet exceeded $600 million. Moving to Slide 10. As Kurt outlined, second quarter results were impacted by lower-than-expected air distribution bookings, leading to financial performance below the expectations we outlined on May 7. Normalized adjusted EBITDA was $127 million in the quarter. Air distribution bookings were expected to grow low single digits, but were down 1% year-on-year, resulting in a 3- to 4-point shortfall relative to our expectations. Each point of air distribution bookings on a quarterly basis equates to approximately $3 million to $4 million of adjusted EBITDA. Based on the second quarter bookings shortfall, and lower gross margins, adjusted EBITDA was approximately $20 million lower than our expectations, which also impacted free cash flow. Free cash flow on a reported basis of negative $240 million includes a $227 million impact related to refinancing activity in the quarter. Upon refinancing the 2028 senior secured term loan, the payment-in-kind capitalized interest over the prior 2 years flows through operating cash flow. We have removed this refinancing impact from our pro forma free cash flow calculations. Turning to Slide 11 and details about the progress we have made in strengthening our capital structure. During the quarter, we extended our debt maturities. In addition to the $1.6 billion of debt we extended late last year, we refinanced $1.325 billion in the second quarter. We now have nearly 60% of our debt maturing in 2029 and beyond. We also paid down debt in the second quarter, utilizing cash from the balance sheet to repay nearly $200 million of maturities. Subsequent to quarter close, we utilized approximately $825 million from our sale of Hospitality Solutions to repay a portion of our Term Loan B senior secured facilities and accounts receivable securitization facility. This year, we have paid down over $1 billion of total debt, reducing our expected year-end pro forma net leverage by approximately 50% as compared to 2023. We will continue to be opportunistic in our efforts to further strengthen our balance sheet. On to Slide 12. Following the completion of the first half of the year, and an updated view on GDS industry growth, we have revised our 2025 outlook to incorporate our latest assumptions. We now expect full year air distribution bookings growth to be flat to low single digits. Our updated financial outlook reflects 3 potential scenarios based on varying levels of GDS industry bookings growth. While some recent airline commentary has been encouraging, uncertainty remains around the near-term trajectory of GDS industry volumes. Assuming second half 2025 Air Distribution bookings growth of 4%, 7% or 10%, we project full year 2025 air distribution volume growth of approximately 1.5%, 2% or 3.5%, respectively. On the slide, we have provided our view on revenue, pro forma adjusted EBITDA and pro forma free cash flow based on these 3 potential volume scenarios. As a reminder, our 2025 guidance treats revenue and pro forma adjusted EBITDA associated with the Hospitality Solutions business as discontinued operations for the full year and all prior periods beginning this quarter. Full year 2025 revenue is expected to grow flat to low single digits, resulting in pro forma adjusted EBITDA in the range of approximately $530 million to approximately $570 million, depending upon the underlying growth in air distribution bookings. We have not made any changes to our assumptions for either CapEx or cash interest. We expect pro forma free cash flow to range from approximately $100 million to approximately $140 million, and we expect to end the year with greater than $750 million in cash. Moving to Slide 13 and the third quarter. Again, we are outlining 3 possible scenarios. These scenarios incorporate our expectations for accelerating bookings from our growth strategies through the remainder of 2025 offset by impacts related to the GDS industry and Sabre mix. For the third quarter, we forecast a range of air distribution bookings growth from 2% to 6%, which would result in year-on-year revenue growth of low to mid-single digits. We expect pro forma adjusted EBITDA in the range of approximately $140 million to approximately $150 million. We expect to generate positive free cash flow in the third quarter on a pro forma basis in a range of approximately $40 million to approximately $50 million. In closing, we are making progress on our strategy to generate free cash flow and delever the balance sheet and drive sustainable growth through renovation. We continue to anticipate an acceleration in volumes during the second half of the year with momentum into 2026. And with that, operator, please open the line for questions.
Operator: [Operator Instructions] First question comes from Josh Baer with Morgan Stanley.
Joshua Phillip Baer: If I'm looking on Slide 7, in Q1, I see the 4% headwind from Sabre mix and a 4% headwind from GDS industry. And if I look at Q2, it's pretty much the same. So I'm wondering why was your prior guidance so optimistic as far as the rest of the year. It looks like sort of now, just assuming those trends that you saw through the first 5 months continue, when that -- I would have thought would have been sort of the base case, plus in May, we knew DOGE was impacting the government, you're calling out government and military, like we already knew that. We knew all the tariff uncertainty is impacting the macro and corporate travel. So just having a hard time, like I see the reconciliation, but I'm having a hard time reconciling what happened, like why last guidance was so optimistic and now maybe more realistic, if you can help give some commentary there.
Kurt J. Ekert: Josh, thank you. Important to note that the impact of our growth strategy remains relatively constant to what we previously communicated. But notwithstanding the turbulence in the travel market, based on what we could see in May and before then, we were confident in our path towards achieving the prior full year 2025 outlook. Since that time, the market has continued to change. For example, airlines have pared back capacity. And ultimately, as we shared in our prepared comments today, we saw incremental industry weakness in June and into July. The current outlook or scenarios that we have provided today represent our view of where we believe the market is going for the balance of this year.
Joshua Phillip Baer: Okay. Got it. And so would you say as far as the way that you're -- I mean, I guess the guidance philosophy has changed just now we have like these different scenarios. But I mean, is the middle scenario sort of how you're thinking about like your base case or most likely in the middle, I'm guessing?
Kurt J. Ekert: Josh, we have not provided a waiting on those 3. We think that gives you a range of potential outcomes. The current trading environment would orient more towards the middle. We believe there's upside potential versus that.
Operator: Our next question comes from Jed Kelly with Oppenheimer & Company.
Jed Kelly: Just kind of circling back, is there anything that's changed with the -- I get the uncertainty around the macro. But is there anything like technology-wise that's changed with the GDS rather impact from NDC or more direct bookings that's sort of causing industry bookings to be down? Is there anything you can share there?
Kurt J. Ekert: Thanks, Jed. You have to look at 2 components here. One is the GDS market at large. And as we indicated in our remarks, and I'll just hit back on that, you have a few factors. One is that corporate impact was relatively higher than leisure impact. Corporate books disproportionately through the GDS as compared to leisure, which books more so through airline direct. Government, military is down substantially. That impacts the GDS industry more so than it does for indirect -- or excuse me, direct distribution. So I don't believe that those are structural issues. I think those are interim issues. And then Sabre is being disproportionately impacted by the GDS market changes. One, because we have very significant exposure to corporate and TMC. Two, our exposure to government military. Then number three, unfortunately, on a year-to-date basis, markets where we have relatively stronger share have underperformed and markets where we have relatively lighter share have outperformed. And so that has worked against us. Over time, that can go either way. That just happens to be going against us right now. I'll give you some examples. Markets where we have very significant share would include markets like Mexico, Australia, Korea, they're underperforming the global travel and GDS markets right now. Markets where we have relatively lower share that are performing better are markets like the U.K. or Greece or Norway, that will disproportionately benefit our competitors versus us for the time being, but we do not believe there's anything structural here, Jed.
Jed Kelly: Got it. And then as a follow-up, you're seeing some momentum with some of these, call it, newer type travel agents, maybe more self- service that are seeing some good growth. However, a large percentage of their bookings are still done through the GDS. So is that an opportunity for you to try to claw some share back? Or is that a headwind? Can you just kind of help us how we should think about some of these newer types of travel management companies that are growing?
Kurt J. Ekert: Yes. Jed, within the corporate space, we're seeing both -- a lot of well entrenched or more traditional TMCs are, in fact, performing well. I think GBT was out with results this week and had pretty good numbers. And then there's, as you indicate, new entrants. We're well positioned with the new entrants and the predominant share bookings that they produce are through the GDS, and we're capturing our fair share of wallet there. So we believe that's a significant growth opportunity for the industry and for Sabre.
Jed Kelly: Got it. And then I know you -- I appreciate the back half guidance. As we kind of look throughout the next, call it, 18 months, can you talk about just any operating cost efficiencies you can get from AI or how we should be thinking about the cost structure over the next 18 months?
Michael O. Randolfi: Yes. Thanks for the question, Jed. And first, let me just highlight, if you look over the last 2 to 3 years. And you look at the cost reductions we've done, plus the combination of our tech transformation initiatives, collectively, that's reduced our annual run rate expenses by somewhere around the range of $400 million. What I would tell you is, going forward, we're going to be very mindful of expenses. As I look at our key expense lines, we talked about this on our last earnings call, as I look at technology expenses, for example, we have the benefit of our tech transformation initiative. We articulated this year, there'd be roughly $100 million benefit that wouldn't be the net benefit to the line because there's also some investment for growth strategies as well as higher hosting costs with the volumes. But net-net, technology costs still should be down pretty measurably for the year. And I would just say, our original expectations on SG&A were that we'd be up slightly. I would say now it's more likely we're down slightly. We've been just very, very measured on incremental costs coming into the organization and actually would expect the cost to be -- start to bend a little lower in the third and fourth quarter. With that, as you think to 2026, look, we're going to continue to maintain very strong cost discipline. And our goal would be as we grow air distribution bookings and you can tell from the guidance, we expect to go into 2026 with good momentum, we'd look for a good portion of that gross profit to fall to the bottom line as a result of the cost discipline that we continue to have.
Operator: Our next question comes from Deepak Mathivanan with Cantor Fitzgerald.
Jack Halpert: This is Jack on for Deepak. I had a question on the multi-source platform and the strategy there. Can you kind of talk about the progress you're seeing in signing more of these NDC agreements? I think the number was 38 live this quarter, just similar to last quarter. Kind of what's the strategy to continue to bring supply online there? And then second, like kind of related, I think you mentioned a 6-month delay in the multi-source LCC solution. Can you just talk a little bit more about what's driving that delay?
Kurt J. Ekert: Thanks, Jack. First, with respect to NDC, I think among our competitive set, we have the most fulsome amount of NDC content in our portfolio. So we have 38 live NDC fulsome connections today. We have a number of other signed agreements that are in the development pipeline, and we'll continue to meet the demand of carriers to bring that demand online. Importantly, when you look at our solution, it's not just connecting nodes to the network, we've built a lot of functionality that faces the buyer or the travel agency around shopping, cashing, workflow integration, to make it as seamless as possible regardless of the source of content, whether it's NDC or EDIFACT or different types of LCC connectivity. I believe that our solution, which we call our multi-source offering, is the best in the marketplace today. It's one of the primary reasons we're having great success in signing and implementing new business on the agency side. Regarding the multi-source opportunity, that's really thinking about the world beyond artifact and NDC. While we have 150-plus low- cost carriers in the Sabre distribution system today, what we aim to do there, as I've talked about previously, is to add a long tail of LCC content that is not available in any of the GDSs. The proxy for that would be Travelfusion, which is a Chinese company. And what we've done basically is develop a solution that seamlessly integrates that content with our EDIFACT and NDC content. We think it will be the most efficient way for agencies or buyers to access that type of inventory going forward. The 6-month delay is simply an execution delay on our side from a tech standpoint. We're doing a lot of things to reinvent and transform this business. And I think, overall, it gives us a green light on our product execution. This is one where we're just a bit behind on what we anticipated 6 months or 3 months ago.
Operator: Our next question comes from Alex Irving with Bernstein.
Alexander Irving: You say you expect the reduction in bookings to be transitory for the underlying market. What gives you the confidence that it is transitory? And how much of that 9% underlying decline for GDS industry and your mix would you expect to reverse in 2026, please?
Kurt J. Ekert: Yes. Thank you very much, Alex. And first of all, let me -- we have not provided 2026 guidance per se. We have very good line of sight to the ramp that we showed on Slide #7, which was the top or the black bar, which shows that we project the incremental impact of new business that we're bringing on to be 13 points in Q3, 19 points in Q4. Our exit rate coming out of July was above 10% -- or above 10 points. So we've got pretty good visibility and line of sight towards that outcome. What is more uncertain for the balance of the year is, as you referenced, the GDS marketplace and the relative impact to Sabre. Assuming a flattish GDS market beyond 2025, we would project our 2026 air distribution volume growth to be high single digit, simply based on the realization of what we're already executing against. And coming back to your question with respect to the base business. The GDS market is down basically 300 to 400 basis points year-on-year. Again, that's largely attributable to the impact on what's down proportionately being on corporate travel and military and government travel. Those 2 sectors book almost entirely or exclusively through the GDS, whereas leisure books predominantly through supplier direct, far less in the intermediary channel. And so I think what you have is an industry mix issue. I do not believe that's structural. I think corporate travel is a healthy sector and will perform over time. And military and government is due to a lot of the turbulence you've seen year-to-date. The Sabre impact specifically is because of our higher proportional exposure, again, to corporate travel, where we have a significant majority portion of TMC bookings globally as well as military and government. And then as I mentioned, our relative geographic mix is working against us now. I don't believe that's structural. I think that's transitory based on what you're seeing around the world. If you look at the aviation industry, and we often track the health of the aviation industry, capacity growth is down very low single digit sort of nominal growth. The airlines have pared back capacity intelligently and their yield environment seems a bit more settled today than it was 90 days ago. Remember that we don't benefit from that. So when you hear the airlines saying things are improving, they're really improving relative to the prior yield expectations. Volumes are roughly where they thought they would be when everyone was freaking out maybe 90 days ago. So I look at the fact that the GDS is down and Sabre is down in our base before the implementation of new business, I certainly don't like that, but I do not think that, that is structural in nature. I think it is based on the relative mix of channel and the relative geographic mix.
Operator: [Operator Instructions] Our next question does come from Victor Cheng with Bank of America.
Victor Cheng: I guess if I start with NDC, obviously, you have 38 live connections now. Why have we not seen a higher mix of NDC growth? I think some of your peers talk about very strong mix in there relative to maybe you. So if you can -- I know you have a higher corporate mix and all that, but still just trying to make sense of when should we expect NDC volumes to be growing a bit faster from your end?
Kurt J. Ekert: Yes. Thank you very much, Victor. I'll take that. So first of all, NDC as a proportion of air distribution for us remains low single digit as a percentage. If you compare that against our largest competitor, and I think they're quoting a number than that, we believe that is almost entirely attributable to the reintermediation of certain former Direct Connect NDC volumes by certain large -- 1 or 2 large OTAs that have now put that volume through that competitor of ours. When you normalize it and say, in the brick-and-mortar space and in the TMC space, we believe their NDC adoption is in the same range as ours. So we do expect going forward that NDC will scale and scale very well. It's not going to be the majority portion of our booking anytime in the near future, but it's becoming an ever more important part of the distribution landscape.
Victor Cheng: Got it. And if I look at the GDS industry, I think you said it's down 300 to 400 bps year-on-year in the first half. And if I look at what your peers are reporting as well, I struggle a bit to reconcile the numbers. I'm not sure what piece am I missing here if you can shed some light on that as well?
Kurt J. Ekert: Sure. As we've indicated before, our visibility to market does not include -- not all of our competitors disclose their NDC volumes. So when you look at EDIFACT and our assumption of NDC, that's where we get to being down 300 to 400 basis points on a year-to-date basis. Why did we trade where we traded at negative 1% versus, I think Amadeus came out slightly positive? Two things. One is they have, as I indicated, we believe the reintermediation of certain Expedia NDC Direct Connect volumes and perhaps one other OTA. And then number two, the geographic and the channel mix that I talked about, actually both would work in favor of Amadeus because they are disproportionately much higher leisure than corporate shop and their footprint benefits inversely to ours.
Victor Cheng: Got it. And if I can squeeze in one last question. On revenue per booking, I think your peer seem to manage to grow a bit stronger on renewals and pricing effects. Just wondering to what extent do you see that happening on your end or the potential of that happening on your end as well as we go into H2.
Michael O. Randolfi: Yes. What I would say is when we look at our average booking fee, I would expect it to perform similarly as it has generally so far this year. I would expect -- if you look at booking fee in Q3, Q4, I would expect it to be pretty close to what it was in Q3 and Q4 last year. And if I take that a little further to gross margin, I talked a little bit about on the call, I would expect the gross margin to improve slightly in the second half of the year and being nearly in line with Q3 and Q4 last year.
Operator: And this concludes the question-and-answer session. I would now like to turn it back to Kurt Ekert for closing remarks.
Kurt J. Ekert: Thank you. And thank you, everyone, for your participation today. We look forward to updating you in forward quarters, and we're focused on running a great business here at Sabre. Thank you.
Operator: Thank you for your participation in today's conference. This does conclude the program. You may now disconnect.